Operator: Thank you for standing by, and welcome to Motorsport Games, Inc.'s Second Quarter 2025 Earnings Call. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to turn the conference over to Ben Rossiter-Turner from Motorsport Games. Please go ahead.
Ben Rossiter-Turner: Thank you, and welcome to Motorsport Games Second Quarter 2025 Earnings Conference Call and Webcast. On today's call is Motorsport Games' Chief Executive Officer, Stephen Hood; and Chief Financial Officer, Stanley Beckley. By now, everyone should have access to the company's second quarter 2025 earnings press release filed today after market close. This is available on the Investor Relations section of Motorsport Games' website at www.motorsportgames.com. During the course of this call, management may make forward-looking statements within the meaning of the U.S. federal securities laws. These statements are based on management's current expectations and beliefs and involve risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. Except as required by law, the company undertakes no obligation to update any forward-looking statement made on this call or to update or alter its forward-looking statements, whether as a result of new information, future events or otherwise. Please refer to today's press release and the company's filings with the SEC, including the most recent quarterly report on Form 10- Q for the quarter ended June 30, 2025, for a detailed discussion of certain risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. In today's conference call, we will refer to certain non-GAAP financial measures such as adjusted EBITDA. as we discuss the second quarter 2025 financial results. You will find a reconciliation of these non-GAAP measures to their most directly comparable GAAP measures as well as other related disclosures in the press release issued earlier today, which is also available on the Investor Relations section of Motorsport Games website at www.motorportgames.com. And now I'd like to turn the call over to Stephen Hood, Chief Executive Officer of Motorsport Games. Stephen?
Stephen Hood: Thank you, everyone, for joining this conference call today. We have some exciting turnaround news, product and Software as a Service or SaaS developments to lay out today as part of our overview of ongoing progress made by the company in the second quarter of the year. Work continues at pace on our primary game title, Le Mans Ultimate. A major update was delivered by Studio 397, our development arm during the run-up to the real-world 24 hours of Le Mans held in June. The game title was demonstrated on site to thousands of people attending Le Mans. Our activation was further enhanced alongside Pimax, a recent lead investor in Motorsport Games with simulators running their latest VR headsets. In our product update, significant gameplay improvements were pushed into the product, including support for teams and driver swap races. In most racing titles, everyone is out for themselves. But with Endurance racing, there are 3 drivers per team, each driving parts of a race. It's a real team effort. And as such, Le Mans Ultimate now delivers upon this collaborative distinction, bringing some of what makes popular multiplayer games playing with friends as a squad, as opposed to against one another to the sim racing genre. Players within the team can customize their car livery to bring their own identity to the racetrack. Liveries can be freely shared around with other players. Some of the designs are very complex works of art. We are planning a delivery market, enabling players to host and trade their custom designs with others through an easy platform extended from our existing race control platform designed to reduce the complexity of sim racing. Now that team events have been incorporated into the product experience, we can accelerate our plan to bring the world's biggest racing esports event back into focus. Le Mans Virtual will be returning with the final expected to be held next year with early qualifying rounds appearing in Q4 of this year. Le Mans Virtual was a resounding success when hosted on our prior product, rFactor 2. And now that we have an official Le Mans product in full swing, we are excited to leverage the latest technology in the return of what we hope will be a great spectacle and marketing vehicle for our evergreen game Le Mans Ultimate and multiplay platform RaceControl. As part of this feature rollout, we have been testing the viability of our platform to host such large-scale real-time events, and we're impressed with the player interest. In the opening test, over 6,000 drivers signed up to deliver more than 1,700 teams, a great testament to early player reaction to a feature we're going to be leveraging ever more in the run-up to Le Mans Virtual. Additionally, the final downloadable content pack for the 2024 season was delivered, including 2 new vehicles, the Lexus and Lamborghini GT3s and the Lusail Circuit in Qatar. We also, during that week, in coordination with our partners at the Automobile Club de l'Ouest announced an expansion of the game to include the European Le Mans series or ELMS for short. This expansion to the game will add 3 more iconic venues in Paul Ricard, Circuit to Barcelona-Catalunya and the home of British Racing, Silverstone, along with the LMP3 class of cars, a prospect that seems to have excited fans of what we believe to be a viable gaming franchise in Le Mans Ultimate. The result of this update and the associated marketing activity brought tremendous visibility to the product. The month of June when viewed in isolation outside of the original product release month of February 2024, delivered record game revenues. Additionally, the game set new concurrent and daily active user records, demonstrating strong continued interest in the product and the 24 hours of Le Mans upon which we base our licensed gaming experience. Following the June update on July 22, outside of this reporting period, but a significant milestone in the company's calendar and one I'd like to mention, we delivered version 1.0 of the product. Once again, the game set new records for concurrent and daily active users. We believe this demonstrates that unlike some licensed game titles, the success of the product itself is not critically tied to the real-world race and championship upon which it is based. The biggest race is held in June, but our new player records came about more than a month later, in line with the full release version 1.0, signifying the product has left the early access phase. Players have reacted favorably to this new phase of the product life cycle. Leaving early access means that we can tap into new marketing and sales tactics as well as commence work on the much anticipated console port of the game. Fans are increasingly eager to see our product on Microsoft Xbox and Sony PlayStation gaming consoles. And of course, the vast audience available to us via those platforms is of great interest. With regards to console port, I am pleased to confirm that we are in late-stage negotiations with an expert third-party development studio well versed in transitioning this kind of title to gaming consoles. It is hope that the initial portion of work can begin in the coming weeks, and it could lead to a full-blown agreement to bring Le Mans Ultimate to an even larger audience. Additionally, we are in conversations with potential partners interested in taking on publishing responsibilities and assisting in turning our product into a long-term multi-format gaming franchise. Whilst we currently self-develop and publish all of our products and content, we see several advantages to partnering with a more experienced and well-connected publishing company to maximize the opportunity we believe to be within reach. There are also discussions taking place about any incoming publisher funding, the console port, which would see MSGM receive a sizable upfront payment and derisk cash flow pressures in the near term. We think this shows that the continued success of our game has piqued interest across the industry. LMU or Le Mans Ultimate game revenues were a driving force in revenue and net income. Both were significantly higher than the equivalent quarter in 2024, an increase of 37.7% and 103%, respectively, despite the company no longer generating NASCAR revenues since the beginning of the year. You will recall we opted to sell the NASCAR license as part of our plan to bring about development focus and bring to market higher-quality games, especially those with potential for additional forward-thinking revenue streams, which could compound when integrated within our overall ecosystem. We built the games, provide the online platform and own the end-to-end experience, which should benefit not only our ability to increase accessibility and quality but player experience. As of June 30, 2025, we had cash and cash equivalents of $2.4 million, which increased to $2.8 million as of July 31, 2025. Where game revenues continue to climb, demonstrating great player confidence in Le Mans Ultimate, we are even more pleased with our subscription offerings. RaceControl, the Motorsport Games owned platform, which brings players together to enjoy our titles with well over 200,000 accounts now registered, has contributed significantly to the business since its introduction. In December of last year, a subscription service went live, offering additional perks to our player base. Growth has been rapid with net monthly recurring revenue or MRR growth at 296% in June alone. More impressive is our quick ratio, a measure of new subscribers versus churn subscribers of 4.66 at our highest peak in June, we believe anything over 4 to be a significant indicator of growth and this despite the service and manpower focus to be in its early-stage life cycle. We believe these statistics prove that our subscription product is incredibly sticky, adding value to our players and resulting in net revenue retention that exceeds business models that simply rely on unit sales. Prior to December 2024, the company generated revenues from typical game content sales. We now offer up clear indicators of our move into a SaaS territory aided and accelerated by our complete control over the experience ecosystem, game, content and now services. We're agile and unafraid to steer a course to benefit growth. With this impressive growth and retention, we view RaceControl as not only an important revenue line, but also the basis of predictable forward-looking cash flow that will allow for us to make better strategic investments and bring even more value to players who are active subscribers. At the end of June alone, we had an annual recurring revenue or ARR of approximately $972,000 with an MRR of approximately $81,000. Those numbers have been improved upon considerably since, and we look forward to updating you on this exciting area in future earnings calls. As a result of this explosive growth, we are investing in our SaaS infrastructure and expertise. I'm delighted to announce the hiring of Jon Tibble as Vice President of Revenue and Growth. Jon had previously served in his senior role at Motorsport Games and has experience at Codemasters, Vivendi and CI Games. He rejoins the business with a mission to maximize our game content and now subscription revenues and has already had a positive impact on our earnings. We're delighted to welcome back a strong leader with a proven track record in Jon. This is a great indicator of where the company stands today versus where it was when I returned in 2023. We are making enormous strides in attracting and retaining top-tier talent. The decision to overhaul the business and focus on Studio 397, our remaining development arm, has proven itself worthy of a road to recovery. What is a game studio without great games. We leveraged the technology acquired and then extended through Studio 397 to positive effect. In early July, we settled the remaining balance of the studio purchase. With this, the company now has full and complete ownership of the technology and IP. There will be no further payments related to its purchase, freeing up cash flow. We are now empowered to continue leveraging the technology that underpins our rFactor 2, F1 Arcade and now Le Mans Ultimate, knowing it is under MSGM control. All of this has contributed to a major milestone for the company, a turnaround story worthy of appreciation saw us record income from operations of $2 million in Q2 2025. After adjusting for other nonrecurring other operating income of $1.1 million, Q2 2025 was the first quarter in the company's history that income from operations was generated. We've worked hard to stabilize, demonstrate our capability, and I'm proud of how everyone across the business has pulled together to make this happen. There is a pride across the organization that makes a real difference. Business growth is now a routine conversation within the corridors of Motorsport Games. Whilst the foreseeable future, we'll see further development of our successful Le Mans game and with our recent announcement of a career mode feature, allowing players who tend to avoid online multiplayer racing in favor of solo zero to hero style gameplay, we aim to attract a wealth of new players to the product over the longer term. We are also looking to expand core technologies to serve new opportunities and drive major enhancements through RaceControl. In addition, we are in active conversation with our recent investors led by Pimax about ways in which we can enhance the VR Sim Racing scene and generate new business opportunities benefiting both MSGM and Pimax. We believe there is an opportunity to begin mapping out a future in which the company scales to develop and operate more than one game franchise, possibly outside of the sim racing insurance market, we are widely recognized as leading. Whether this is a new IP or a licensed title is under discussion. We are deploying effort to identify the next opportunity, and you can be assured that the revitalized company that is Motorsport Games has proven innovation and quality at the forefront of its player offerings. Now I would like to invite Stanley Beckley, our Chief Financial Officer, to talk about the financial results for the second quarter of 2025.
Stanley Beckley: Thank you, Stephen, and good evening, everyone. As with previous earnings calls, I won't be offering any forward-looking guidance today. Instead, I will focus on providing an update on our financial results and highlights from the second quarter of 2025. Revenues for the quarter were $2.6 million, up by $0.7 million or 37.7% when compared to the same period in the prior year. The increase in revenues was primarily due to a $1.3 million increase in 2025 from sales of our Le Mans Ultimate Racing title, particularly DLC sales, a $0.2 million increase from Race Control and a $0.1 million increase in our rFactor 2 title compared to 2024, offset by a $0.9 million decrease in NASCAR-related revenues, a gaming title we are no longer authorized to sell starting in 2025. Net income for the quarter was $4.2 million compared to a net income of $2.1 million for the same period in the prior year, an improvement of $2.1 million or 103%. The increase in net income is driven by an increase in revenues, lower operating expenses as well as $0.8 million from the Wesco insurance company settlement in June 2025. Net income attributable to Class A common stock was $0.82 per share for the second quarter of 2025 compared to $0.77 for the same period in the prior year. I am pleased to report that after adjusting for other nonrecurring other operating income of $1.1 million, Q2 2025 was the first quarter in the company's history that income from operations was generated. We are reporting adjusted EBITDA of $3.7 million for the second quarter of 2025 compared to an adjusted EBITDA loss of $0.5 million for the same period in the prior year. The improvement in adjusted EBITDA of $4.2 million was primarily due to the same factors driving the previously discussed change in net income for the second quarter of 2025 when compared to the same period in the prior year as well as a decrease in stock-based compensation compared to the prior year period. As it relates to liquidity, as of June 30, 2025, we had cash and cash equivalents of $2.4 million, which increased to $2.8 million as of July 31, 2025. For the 6 months ended June 30, 2025, we generated an average positive cash flow from operations of approximately $46,000 per month to $0.8 million from the Wesco Insurance Company settlement in June 2025 and $0.5 million from a settlement agreement with HC2 Holdings II, Inc. in March 2025. Thank you all for your time. And now I will turn the call back to Stephen for closing remarks.
Stephen Hood: Thank you again for everyone joining this call today. You can no doubt tell, we're happy to bring you this update, showing our turnaround is really kicking into gear. This provides us with great satisfaction, but it's partly a much bigger story we're going to be telling over the next few quarters. Motorsport Games has an evergreen gaming product on its hands. We're seeing record player numbers. Our subscription service has added a SaaS component to the business, and we're investing in driving that component forward to the benefit of our loyal customers. I'll now pass it back to the operator.
Operator: And there are no questions on the line at this time, so we will conclude today's program. Thank you for your participation in Motorsport Games' Second Quarter 2025 Earnings Call. You may now disconnect.